Operator: Thank you for standing by and welcome to the Boss Energy Investor Conference Call December Quarter 2024. All participants are in listen-only mode. There will be a presentation followed by a 30-minute question-and-answer session. [Operator Instructions]. If we run out of time and we do not have time for your question, we ask that you please call our office on (08) 6263-4494 or email Boss at bossenergy.com and speak to our team. I would now like to hand the conference over to Mr. Duncan Craib, Managing Director. Please go ahead.
Duncan Craib: Good morning, everyone. Thank you for taking the time to dial into our first quarterly call, which we expect to become a regular occurrence now that we are in production. And today really is a milestone event for the company, declaring commercial production and publishing our first cost guidance. On the call joining me today is Justin Laird, our CFO; and Matt Dusci, our COO. And on today's call, we will walk you through the key achievements of the December quarter as well as providing cost guidance for the second half of this financial year 2025. At the end of the call, we will take questions. And to our analysts, Justin and I will be in touch in coming days to invite you on our Honeymoon site tour in March. Given construction activities are largely complete and the site is safe, we'll be hosting regular site visits going forward. So turning to the presentation, the highlights, looking at the three key categories, our key ramp up milestones delivered during the quarter, well, we remain on track to deliver our 850,000 pounds of uranium per our production guidance for 2025. It's another strong quarter of growth as we continue to ramp up production, our Honeymoon operation in South Australia, as well as at the Alta Mesa operation in South Texas. Some of the key highlights which we'll expand upon during the call include 137,000 pounds of uranium being drummed during the quarter, and that's up 53% since the September quarter, and 215,000 pounds of Ion Exchange production, which is up 96% from the previous quarter. Our NIMCIX column 3 was commissioned and currently ramping up. Columns 1 and 2, I'm pleased to report, are continuing to operate at nameplate capacity. The final installation and commissioning of Kiln 2 was also completed and is now operating. Commercial production effectively was then declared effective from January 1, 2025. Financially, we're also in a strong position. We retain and remain with sort of 252 million in cash and liquid assets on our balance sheet. Funny enough, it's a growth of 7 million from the previous quarter, and we still have zero debt. During the quarter, we sold 200,000 pounds of uranium at a realised price of US$77.5 per pound, which is roughly around A$125 per pound. So, in light of the quarter's strong performance, we're pleased to publish our maiden C1 cost guidance for Honeymoon of between A$37 to A$41 per pound, which equivalent in U.S. dollars and exchange rate of 0.62 equates to about US$23 to US$25 per pound. And that's for the six months forecast to June 30, 2025. We believe this is a very strong outcome by any measure and is in line with the forecast in the feasibility study released in June 2021, which simply adjusted for inflation. And finally, for the further ramp up and growth initiatives that are underway, while we continue to derisk Honeymoon's processing and operations, we're also progressing growth initiatives such as infill drilling on our satellite deposits of Jason's and Gould's Dam, and also ramping up and supporting our joint venture with enCore's Alta Mesa. Looking at our production results, as stated, during the quarter, we produced 137,000 pounds of uranium drummed, which was up 53% from the previous quarter and 215,000 pounds of product from the Ion Exchange columns, which is nearly double to the previous quarter. The difference between IX production and drummed yellowcake is really due to slight time delays in commissioning and tuning of our second kiln, Kiln 2. That issue has now been resolved. We also achieved a number of other key milestones, which will help provide step changes in our production profile. These include installation and commissioning of column 3, final installation and commissioning of Kiln 2, and completion of the pump installation on Wellfield 3. In terms of production ramp up, we remain confident that we will achieve our 2025 guidance. Ion Exchange production is already achieving a run rate consistent to delivering 850,000 pounds of uranium by June '25. Kiln 2, as mentioned, has been commissioned and became operational in mid-January. So if we look at the past two weeks or 14 days, we've recorded an average of 3,900 pounds per day production of uranium. This is a great achievement and not only highlights the production run rate, but also validates our adoption of Ion Exchange technology, which has increased production throughput and reduced the cost of production. And that's what we set out to achieve all those years ago, five, six years ago. In fact, in the past 24 hours, according to our daily production sheet I just received, we kilned 7,000 pounds, which implies both the front end and the back end of the processing plant have achieved nameplate capacity for six columns. However, only just two columns were actually operating. Having said that, we are still in a commissioning phase and the focus is now on consistency and reliability of production as we ramp up. In terms of timing of our next milestones, we expect columns 4 to 6 to be completed by June 2025. We'll continue to implement optimisation initiatives to improve the availability of the drying and packing area. As mentioned, Wellfield 3 is also available for use and we'll turn that on when required. In terms of growth, when we look at our exploration, we've got the satellite deposits as mentioned, Jason's and Gould's Dam prospects. They really have the potential to drive growth as well as enable us to leverage our existing infrastructure at the Honeymoon processing plant and further capitalise on opportunity presenting by growing global demand for uranium from Tier 1 locations such as South Australia and South Texas. Our key activities for the quarter included completing the infill drill program for Gould's Dam and Jason's deposits, which did include a number of significant intercepts, including 3.25 metres at a grade of around 3,873, which was measured by a Prompt Fission Neutron. We also have engaged AMC consultants to produce a mineral resource update for the Gould's Dam and Jason's deposit and we're advised that we will receive that in the quarter three of 2025. And with our new Chief Geologist, Andy Wilde, we've now been looking at other growth prospects around the uranium mine, including the Cummins Dam prospect, which is next to East Kalkaroo, and that's defined a zone of mineralisation of approximately 1 kilometre by 1 kilometre, which remains open. In terms of further upcoming exploration activities, we'll continue drilling on that Cummins Dam prospect and we'll also continue to generate new exploration targets around the Honeymoon operation, identified for high priority targets that could represent additional undiscovered resources. For Alta Mesa, we're really content with our business relationship with enCore Energy and the Alta Mesa operation. We've had many touch points with the enCore team during the course of my career, our Chairman Wyatt Buck; and Sashi Davies, our Marketing and Strategic Representative. Our Chairman Wyatt and I had the fortune of attending Alta Mesa's grand opening ceremony or celebration in early October with George W. Bush, the 43rd President of the United States leading proceedings. A few weeks afterwards, enCore announced Alta Mesa production ramp up had passed another important milestone with the first of three Ion Exchange circuits nearing flow capacity. Alta Mesa's first Ion Exchange circuit was commissioned in June 2024 and the second Ion Exchange circuit is planned to commence operation this current quarter, with the third Ion Exchange circuit planned to be online by the end of 2025. They're making good progress and during the quarter, enCore also announced more strong grade drill results, which we announced to the market. The operation also observed increased wellfield recoveries as ramp up continues. The solution head grades at Alta Mesa peaked at about 140 milligram per litre and averaged approximately 65 milligram per litre. Alta Mesa is ramping up to an annualised production rate of 1.5 million pounds per annum. And our share of that production is 30%. Just quickly looking at the market, just a sort of quick overview. I'm sure most are up to speed. But really, when we cast our eyes back in the past year, 2024 fundamentals improved significantly. On the demand side, International Energy Agency’s 2023 World Energy Outlook, protected more than a doubling of global nuclear capacity from 417 gigawatts, increasing to 916 gigawatts, by 2050. The industry also saw unprecedented interest in developing nuclear capacity to support data centre growth. In 2024, several prominent companies, including Amazon, Microsoft, Meta and Google, announced MoUs with nuclear utilities to develop nuclear capacity aimed at supporting these data centres. And this phenomenon wasn't really even contemplated some year or two ago. It highlights a strategic shift towards sustainable and reliable energy sources to power the growing demands of data infrastructure. This was further complemented by last week's Stargate project announced by President Trump, a 500 billion AI infrastructure venture. Growing demand for electricity generation has also driven nuclear capacity upgrades, life extensions and recommissioning of shutdown reactors such as Diablo Canyon, Palisades, Three Mile Island, and Duane Arnold. Nuclear capacity demand and associated uranium demand is expected to more than double by 2050. And while demand expectations are increasing, the risks on the supplier side cannot be ignored. Geopolitical concerns continue to dominate worldwide. These include potential import bans, sanctions, transport issues, potential tariffs and counter tariffs. It's making headlines daily, all of which will continue to create uncertainty in the market regarding the availability of supply now and in the future. When we now move to financials, as mentioned at the opening, Boss Energy remains in a very strong financial position with a robust balance sheet that is supported by $252 million in cash and liquid assets on hand as at 31st of December 2024, which was a $7 million increase on the September quarter. This is a strong financial position which will support Boss Energy during ramp up with no requirement for external capital or debt. During the quarter, we also sold, as mentioned, 200,000 pounds at a realised price of US$77.5 per pound. We've been very disciplined with our marketing strategy and the price was consistent with the prevailing market price at the time of sale, which represents our strong exposure to potential further increases in the uranium price. Now, importantly, on to cost guidance, but before Justin goes into details on the numbers, it is worth reiterating that the background for the second half of 2025 guidance provided. Overall, Boss is in the early stages of ramp up and so what we are providing is a forecast based on actuals that we have seen to date combined with planned production. Over to you, Justin.
Justin Laird: Thanks, Duncan. So, as Duncan mentioned, the C1 cost guidance for the second half of FY'25 is estimated to be between Australian dollars $37 per pound to $41 per pound, equivalent to US dollars $23 per pound to $25 per pound. We expect that the cost per pound will come down as we ramp up production and the fixed cost is fractionalised. The increase in C1 costs since the EFS essentially represents an increase in line with inflation. The composition of the key drivers of C1 costs, such as labour, reagents and power that were set out in the EFS have not materially changed since. The definitions of each cost are also consistent with the EFS, but nonetheless, we've included a summary of the definitions in the appendix of this presentation. Capital costs for the second half of FY'25 are estimated to be between $38 million and $43 million, which comprises CapEx for the wellfields, projects and other sustaining capital. Wellfields CapEx of $17 million to $20 million mainly reflects infrastructural costs of drilling, casing and screening, as well as the new well houses. It also includes the spider lines to connect the well houses to the wells and the main trunkline costs which are used to bring a group of wellfields into production. We are seeing that wellfields CapEx has gone up approximately in line with C1 costs since the EFS. A small cost of circa 2 million, which wasn't included in the EFS, was the first fill cost for wellfields, which reflects the initial reagent usage required to charge the circuit and establish the chemical conditions needed to leach the uranium. Studies are currently underway to investigate how much of this investment in reagents can be recovered by pumping the reagent out of used wellfields and then into new wellfields. For project CapEx, the remaining cost for the second half of FY'25 will be between 19 million to 21 million, which almost entirely represents the cost to complete the project. This is a bit over a third higher than what was estimated in the EFS in terms of the total cost to complete the project. Essentially, the main reason for the increase in project CapEx is an increase in labour cost and inflation since the EFS was published. That concludes the financial guidance section. I'll now hand back over to Duncan.
Duncan Craib: Thanks, Justin. So we can now turn to questions from those joining the call. Thank you.
Operator: Thank you. [Operator Instruction]. Your first question comes from Mark Wiseman with Macquarie.
Mark Wiseman: Hi, Duncan and team. Congratulations on the ramp up. It really looks like it's going well. I just want to ask on the cash costs. If we extrapolate those fixed costs across the plateau volume, the 2.45 million pounds, sort of implying A$33 to A$36 a pound cash cost, is that appropriate? Is that the right way to think about the way you're presenting this? Or are there some other issues to consider?
Justin Laird: Yes, I can give you a call afterwards, Mark, just to check your maths there. I think you're coming out of a cost that's higher than what would be implied by the fixed and variable cost that we've published. But I can give you a call afterwards to go through that maths.
Mark Wiseman: Okay. All right. Thank you. And if I could just ask about the reusing of reagents in future wellfields, how much of a benefit would that have on overall costs and how long would it take before you would start to implement that?
Justin Laird: Yes. So the first field cost of reagents, that's a new cost as compared to the EFS. In terms of what portion of that we expect to be able to recover, we're still working through the technical studies for that. We should be able to come out with the results from those studies the next time that we provide updated guidance.
Mark Wiseman: Okay. Great. Thank you.
Operator: Your next question comes from Cameron Taylor with Bank of America.
Cameron Taylor: Yes. Hi, Duncan and Justin. Well done on the result and thanks for hosting the call. It must be pleasing to see the IX columns coming online after many years of hard work. But just on the sales, so you've sold more pounds than you've produced. I assume the difference is from the strategic stockpile. My question is whether this was opportunistic or was it used to meet the contracts? And do you anticipate any further drawdown on that strategic stockpile over the next 6 to 12 months?
Duncan Craib: No, thanks, Cam. We did see it was a bit opportunistic. We actually saw the price that we sold it was higher than the average for the quarter at that US$78.5 a pound. So we took advantage. I think from our intents and purposes, strategic inventory has now blended into being just inventory. And as we're ramping up production effectively, we're going to top up that inventory again. Question remains at the moment and we're just working through what level of strategic inventory should we hold on hand going forward? It's not necessary to probably to hold the 1.25. So we might whittle that down a bit. But, yes, we're working that out in terms of our working capital requirements. But the key thing with Boss is that we really didn't want to overcommit our sales contracting going into a startup of production. We've been here before. And in a rising market, one really wants exposure to take advantage of an increasing uranium price rather than locking contracts. So that's where we're sitting. And we're retaining that sort of large stockpile at the moment, getting ready for higher prices.
Cameron Taylor: Okay, makes sense. Thanks, Duncan. And also just on the printed result, you had 3,900 pounds of uranium produced daily. You mentioned, obviously, that last 24 hours of 7,000 pounds. This should come down -- should this come down as those tenors sort of decline as you flush the new production through? And also the confidence you have of meeting that 850,000 pounds for FY'25. Does that account for sort of contingency around unplanned outages or any maintenance tasks? Or is that, you know, 100% of production at full rate?
Duncan Craib: No, no, it does take into account sort of planned shutdowns and any potential disruption. So personally, I feel really confident that we're going to hit our guidance of 850,000 pounds by June 25. The results of like 7,000 pounds over the past 24 hours is indicative of how well the plant can operate. And in fact, the last two weeks at just shy of 4,000 pounds per day is another indication. So our job now, from an operating perspective, is making sure we get consistency in production throughput. Your question as to what will happen in terms of production with regard to tenors and wellfields, the plant's been designed as a low grade plant. So in fact, what we're achieving now, say the 4,000 pounds daily production or yesterday's 7,000 pounds is just running off two columns. So the additional columns are really to take into account some of the lower grade that we may encounter from other wellfields. But where we stand now, the wellfields are performing above expectations.
Cameron Taylor: Fantastic. Thanks, Duncan.
Duncan Craib: Thank you.
Operator: Your next question comes from James Bullen with Canaccord.
James Bullen: Good morning, gentlemen. Congrats on the result. Great on a production perspective and particularly on a cost control perspective. You've got a 3.3 million pound export license. Could you just provide us with a bit of a reminder around what it would take to bring those satellite developments in, the sizing of the back end of the plant in particular? And once you've got that updated resource study, how quickly could you move on those satellites?
Duncan Craib: Thanks, James. Essentially, yes. So we've designed a plant as is to produce 2.45 million pounds per annum. That's the current design and what's been built. So if the satellite deposits prove to be economically viable and we have the right tenors coming through, essentially what one can do is grow the capacity of the processing circuit. So by that, you'd take the current six columns, you could add two more columns, you could almost duplicate the precipitation circuit and you'd look to include or add another kiln to the back end of the processing plant. So that would give you the required throughput to meet that 3.3 million pounds as endorsed by the federal government. So I guess it's a question now in terms of timing. Right now, the next step, as mentioned, is for the consultants to come out with the mineral resource upgrade. We've already, as meant, well, for those who don't know, we self-performed our mine build, which means we've got our own engineers, designers, et cetera. So rather than an EPCM, we took that on board ourselves. So we've retained that knowledge, which I think is quite a differentiation in the market. And with that sort of team, we can sort of employ those resources onto looking at the feasibility study of bringing in those satellite deposits. Timing is difficult to estimate because it's really a function of getting government approvals. In Australia, that is getting increasingly challenging, particularly for uranium, which is one of the most heavily regulated sort of forms of mining in Australia. But the good news is we've got a plant that's now back in operation and we've got flora and fauna studies for the past 10 years. So we're in good stead to sort of try and fast track the process. But estimating, I'd say two, possibly three years.
James Bullen: I understand. Thank you, Duncan. And I hear what you're saying around wanting to have maximum exposure to a rising price. But at the moment, we've got terms sitting at about $80 a pound. We've got spot volatile sitting in there at $69 a pound. Are you tempted to come into some short-term contracts?
Duncan Craib: Yes, we are. I mean, essentially, the 200,000 pounds that we sold during the quarter, December quarter, was sold at spot. So we're able to affect that sale within, I think it was a seven day period for contract and two weeks to actually do the book transfer of the product. So no, that's one of the other advantages that we have with Sashi Davies. We've got a trader in our team that's recognized as one of the leading world uranium traders and doing a terrific job. So we've got the flexibility, sell on spot or sell into contract. But at the moment, we're retaining our exposure to the spot price.
James Bullen: I understand. Thank you, Duncan.
Duncan Craib: Thanks.
Operator: So our next question comes from George Ross with Argonaut.
George Ross: Hey guys, congratulations on the result. That's excellent. Most of my questions have been answered. Just to double check here, so with that second kiln calciner now installed, basically the back end of the plant is still bottlenecked, correct?
Duncan Craib: Yes, that's right. I mean, we sort of experienced delays in that final installation and commissioning of the second kiln. Where we were taking a thickened uranium peroxide product and converting that to U308 through calcination. So unlike other sections of the plant, like the Ion Exchange columns, for example, where commissioning of each column can be done independently almost in batches to the other columns without any impact to operations, the back end of the processing plant is more integrated where it's a continuous circuit and that can sort of impact production. So during December we lost approximately two weeks at the back end of the plant for this reason, and that was really related to the final installation and integration of Kiln 2, ventilation issues and some of the bag house or dust collection issues. So the pleasing aspect is all of those issues have been resolved and, as mentioned, in the last two weeks we averaged about 3,900 pounds kilned of U308. Interestingly, we had a few issues similar with Kiln 1 that was reported, I think it was in the January quarterly, sorry, the March quarterly. But, yeah, that's really now under control. So the next step for drying and packing areas is to really focus on optimization and if there is any other debottlenecking to achieve that 2.45 million pound run rate.
George Ross: No worries, so that 3,900 pounds that you're producing at the moment, that's pretty much maximum drawdown that you can now pull out at the back end of the plant?
Duncan Craib: No, no, we can produce more. I mean, so, for example, the past 24 hours we did 7,000 pounds out that back end of the plant.
George Ross: Yes, okay, so there's plenty of capacity there. Just any idea when we might get a bit more visibility on ultimatum performance?
Duncan Craib: We're told, and we need more detailed information there, but we're told by their March quarter, or it may evolve into the June quarter, but it's imminent, and that's to do with their new listing requirements being on NASDAQ. So they're going through quite a disciplined process and arduous task of sort of being compliant with Sarbane, Oxley, et cetera, new reporting requirements. So the reporting requirements with NASDAQ are more stringent than what they've been experiencing on the TSX, but we all look forward to receiving that information more regularly.
George Ross: Understood. Thanks very much, guys, and congrats again.
Duncan Craib: Thanks, George.
Operator: Your next question comes from Regan Burrows with Bell Potter.
Regan Burrows: Hi, Duncan, the team. Congratulations. I'm sure you're feeling quite happy with the results this morning, both on production and cost. Just a couple of questions from me. Firstly, and it may be a little bit of a dumb question, but obviously the gap between production through the IX columns and then production, drum production that was impacted by the kiln being connected, it looks like you've got spare capacity now in that back end of the plant. Is that sort of, are we inferring that, I guess, that gap can be caught up over this coming quarter and do we have sort of a situation where drum production is greater than production going through the IX columns this quarter just to sort of catch up to that gap?
Duncan Craib: Regan, I'm going to hand this over to Matt Dusci, our COO, to respond.
Matt Dusci: Yeah, hey, Regan. So, you know, like Duncan said, you know, we've been working through that this quarter. So this quarter was really important because we'll see a step change in product and ultimately that will be driven by the additional IX columns and also the bringing on a kiln too. So then that was being demonstrated by the last 14 days of production in January where we're running around about that 3,900 and with instantaneous daily rates of up to 7,000. So we're feeling comfortable from a de-bottlenecking perspective on the processing plan as we achieve the 1.5 and work towards the 2.25 as part of that process. For that quarter, we lost 15 days in production associated with the kiln and we also had production challenges with power, but we feel very comfortable in this coming quarter that we'll achieve those production rates.
Regan Burrows: Okay, and I guess if you take that PLX -- PLS, sorry, tenor that came through is materially higher than the previous quarters. Obviously, whatever's coming out of wellfield too is considerably better, I guess, is the inference from that. I mean, you're in a good position to beat guidance on those numbers. I mean, 3,900 pounds per day gets you a little over 700 for the second half and I think you need, what, 625 to meet guidance. I mean, you're obviously very, very confident that everything's going well?
Matt Dusci: Yeah, so what we now have with Column 3 coming in line is a little bit of flexibility to either pull down the tenor and start pushing volume through. So there's flexibility there, also a flexibility if we're having any challenges on reliability, et cetera, that we can increase tenor. The trick for us now going into this quarter is all about just working through reliability rather than de-bottlenecking. So feel comfortable from an instantaneous run rate, an instantaneous flow that we can achieve what we need to do. Now it's just about providing a little bit of stability to the operating plan.
Regan Burrows: Great, and I guess if I could just squeeze one more in. You mentioned obviously IX 4 to 6 to be connected sort of Q3 and Q4 calendar year. This year you've got 5 and 6 going in in the last quarter. I mean, is that -- are you comfortable with getting two columns connected in one quarter?
Duncan Craib: We are, Regan. We've learnt a lot from the first column, of course, and the second column was quicker to install and integrate into the processing circuit. Third column was even quicker. So we are - we've actually incurred the capital costs for the equipment in terms of the steel required. The remaining three columns are laying down in our yards on site at honeymoon. So, yes, we are content with that. So really when I look at it, it's by the end of Q4, 25 columns, 4 and 5 construction with commissioning in Q1 2025. So column 6 will be ready in Q1 of 2026.
Regan Burrows: Great. I'll leave it there. Congratulations, guys.
Duncan Craib: Yes and Regan, congratulations to you too with your newborn.
Regan Burrows: Thank you.
Operator: Your next question comes from Brad Stewart with [indiscernible].
Unidentified Analyst: Good day, Duncan and team. Thanks very much for the opportunity and congratulations on a really strong quarter. Just a quick question for me on the CapEx over the remainder of the calendar year. Given you guys have already incurred the capital costs of columns 4, 5 and 6, are we expecting to see any material capital projects moving past this financial year? And then the way I sort of read the point that you made on 4, 5 and 6 being put into production, are we assuming that we should get full production rates by early calendar year 26 or are we sort of assuming that's a little bit later?
Duncan Craib: No, it will be a bit later. So our guidance which we haven't officially come out with yet, but we're sticking with the feasibility study, that by the second year I will call it our financial year 2026, we're aiming for £1.6 million to be produced in that period. So it's really just sequentially bringing these columns into production and that's largely dependent, of course, on the wellfields that we're also bringing online. So effectively, once the plant's up and running effectively, which it is, we're now going to focus on wellfield construction and bring new wellfields online. So a bit of - a bit of sort of new adoption there. But just, again, that sort of I picked up in your question a bit on the capital costs and why it's gone a bit over budget. But really it's largely due to labour. So our federal government's restrictions on renewing work visas came into effect at the beginning of 2024 and many of our highly experienced sort of foreign nationals that took part of the civils under Australian leadership sort of didn't have their visas renewed. So there has been a bit of an increase in labour costs, et cetera and that's really the part of construction that one keeps a very close eye to that can sort of, you know, sort of increase. So the fortunate thing is really CapEx is largely completed. The next three columns are now a focus, but as mentioned, they're also integrated in a batch process. So columns one to three can continue operating as columns four to six are installed.
Unidentified Analyst: Thanks very much, Duncan. Really appreciate the opportunity there and looking forward to having you at the Rottnest conference.
Duncan Craib: Thanks, Brad.
Operator: Your next question comes from Dim Ariyasinghe with UBS.
Dim Ariyasinghe: Thanks, guys. Congratulations on the results and thanks for the call today. Look forward to many more. Maybe this first question just on the CapEx, if you could just help me understand it because it is a bit different than what we're used to. Is there any way you can tell me in simple terms like what that sustaining CapEx looks like and whether we can infer what it could look like for future years, I guess, post all these capital additions?
Justin Laird: Hi, Dim. Thanks for your question. So in terms of CapEx, so project CapEx as we said that represents the cost to complete. So then it's just wellfilled CapEx as the other component for the all-in sustaining cost. What we haven't provided an explicit updated all-in sustaining cost, but what we have done is provided you the components. So we've got the fixed and variable cost for C1. And then in terms of comparing wellfilled CapEx to the EFS. We have noted that the wellfilled CapEx has gone up approximately in line with the C1 cost. So we're not seeing any new material wellfilled CapEx since the EFS was completed. So we expect that all-in sustaining cost to increase more or less in line with the increase in C1 cost.
Dim Ariyasinghe: Okay, cool. Thanks. I might have to come back with a couple offline with that. And then maybe just a second one, just trying to get a better gauge on sales versus production going forward. Can you remind us what you've said on that working capital build like, am I right to assume like maybe four months of 2.5 million pounds as a starting point?
Duncan Craib: Yes. Tim, I think that's fair. So typically, well, for uranium operations, basically the uranium producer retains ownership and responsibility for the drummed uranium from when it leaves the production site until it arrives at the conversion facility. So to take into account, for example, shipping, potential shipping delays or logistical requirements, I think it's fair to assume three to four months of working capital should be kept at any side. So when you sell a product under contract to a fuel buyer, essentially they give you - they initially give you a six-month sort of indication of when they would like the product and then three months before they are definite about the timing for that product, they give you further notice. So we're always aware well in advance of when we have to deliver the material to the fuel buyer, but having that three-month window or four months is fair for working capital requirements. And you'll notice a lot of producers sort of keep that up their sleeve. Just to, what you don't want to be, what you don't want to occur is being put into a position where suddenly you don't have the material, call it in the U.S. or France and suddenly you then have to go to the market and buy off the market at the prevailing price. So, yes, keeping three months is probably sensible and that would equate to a minimum of, say, 800,000 pounds.
Dim Ariyasinghe: Yes, okay, cool. Thank you. I'll pass it on and congratulations again.
Duncan Craib: Thanks very much, Dim.
Operator: Your next question comes from Guy Keller with Tribeca.
Guy Keller: Good day, guys. I don't really feel the need to congratulate you, given that I always had faith in your abilities to deliver. Can you just give us a little bit of an expected timeline as to when your future guidance may come out?